Hertta Narvanen: Hello, and welcome to QT Group's Third Quarter of 2024 Results Presentation. My name is Hertta Narvanen, and I'm here today with our CEO, Juha Varelius; and our CFO, Jouni Lintunen, who will be sharing the results. After the presentation, we have time for questions, first, starting with the room and if time permits, then from the conference line. But without any further ado, please, Juha, go ahead.
Juha Varelius: Yes. Thank you. Good day, everyone. My name is Juha Varelius, CEO of Qt, and we have a pretty much same agenda as usual. So I'm going to go through briefly the Q3, and Jouni is going to talk about the financials, and then I'm going to talk about outlook and guidance. And then we're going to have Q&A at the end. So if we go to Q3, it was, of course, a disappointment for us. It was weaker than we were expecting. The net sales grew. We reached €42 million, and the growth in comparable currencies was 12.5%, and our EBITA margin was 24.5%. So if we look what the -- where we are at, at this point of time in -- we've seen softness in consulting. However, the consultancy business is in the early days, we said that it's not going to be more than 20% of the total. Nowadays, it's less than 10%. So the effect is not that big, but it's definitely affecting. So consultancy sales has been slower than we expected, and we were expecting consultancy to pick up on a second half. Basically, we were -- in the early of the year, we were kind of seeing that the second half of the year economically would be better than it's been. Basically, on developer licenses, we are on budget. So we've been selling developer licenses as we planned and the demand has been there healthy, and it continues to be so. So in other words, our customers are not withholding their long-term development plans or projects in that sense, they are going forward, but they are using less consultancy, and we're selling the developer licenses as we've estimated. And I don't -- well, that's the future, but that's pretty much the -- where we see it going in the future as well. Where we have softness is the distribution licenses. If we compare last year where we had a very, very strong growth, and I said in the -- even at the end of last year and early this year that don't expect that kind of a growth for this year. It is definitely going to be a lot less. So it's still growing, but the growth rate on distribution licenses so far for the first three quarters, if I look, has been lower than we expected. So in some senses, this is a pretty similar situation we saw when there was a COVID time. So the developer license sales was doing okay, consultancy was suffering and run times, the distribution licenses were not selling as we were expecting. So then we saw -- when we saw softness in -- we saw the -- if we look APAC, in Asia Pacific and Europe, we are pretty much on plan on the --on all the other aspects of the revenue streams. In U.S., if I look, the softness is -- we are even more soft in consultancy in United States. So in that sense, it's been developing slower. In U.S. as well, the run times are lower and the developer licenses are pretty much on budget. But the differences are not long. Usually, our regions, they change the pole position. But clearly, we've seen that the U.S. has been a bit slower than before. If I look at the QA business, we have there -- we have two products, Squish and Coco, which were the frologic acquisition, they were for the user interface testing. There, we've seen a very healthy growth. So we've seen that that's going really well. On Axivion, we are still on kind of early start-up phase, if I would say. So in -- Axivion was founded in Germany and in Europe. So obviously, our European business is the strongest. And in U.S. and in APAC, we are still in the early phases of ramping it up. However, all the -- if I look all the signs, the customer feedback, if I see that how the early deals, usually on Axivion, the first deals are small and then after a while, there comes an expansion and the customer feedback, everything seems to be going in the right direction on that. So we have no doubt whatsoever that, that business is going to be growing very healthy on the coming years as well. But overall, if we look at how our testing business has been performing, we are happy about it. So it's going pretty much according to the plan. So the only challenge, struggle we are having is around the distribution licenses mainly. And Jouni is going to talk about the financials a bit, and then I'm going to open up a bit that how do we see us going forward.
Jouni Lintunen: Thank you, Juha, and welcome from my behalf as well to the earnings presentation. Let's touch base quickly on the net sales growth in Q3. As we see, it was a soft one, grew by 10.9%. And in comparable currencies, it was 12.5%. So a slight negative impact from FX. Year-to-date, we are running at 15.7% reported growth. It's, in neutral currencies, somewhere 16.5%, meaning that compared to the like 20% floor of target growth, we are behind by roughly €4 million now. We are seeing the net sales growth coming from the license sales, as Juha stated. And now we did see -- when it comes to maintenance, we did see the sequential growth from Q1 to Q2 already. And now in Q3, we do see that there's a kind of a growth also year-on-year quarterly. And it's kind of to be noted that the maintenance market is starting to follow the license sales trends. Exchange rates will have an impact and also the timing of the large deals, which we did not pretty much see in Q3. I mean, they will be causing some volatility going forward as well. In income statement bucket, the consulting subcontracting, which is the materials and services, it's flat year-on-year for Q3, somewhat down from previous year, showing that we are using less resources for consulting outsourcing, reflecting the slower demand from the customer side on that. Our personnel expenses are up by 13% year-on-year. Our headcount is up by 112 during last 12 months' time, roughly out of which 50% are in sales, some 30% in R&D and the rest into, like, marketing and admin side. We are putting a lot of efforts into the growth initiatives going forward as well. And it means that we are putting effort on to new customer acquisition, QA testing tools, business development and addressing those markets more strongly. There's no change in depreciation pretty much. And then the other operating expenses, which is the other spend, it's pretty much flat year-on-year as well. And I mean, we have balanced those resource needs also. And for example, in terms of HR recruitment costs, we have in-sourced the talent acquisition and thus reflecting the, like, outsourced -- reduction in the outsourcing. We have put more efforts into marketing and also travels, same time. Our EBITA margin is roughly on the same level as last year for Q3, 24.5% compared to 24.1%. And I mean, the scalability doesn't show up that much in Q3. But however, then year-to-date numbers, we do see that the EBITA margin is up by 4 points or EBITA is up by 35%. The amortization of the intangibles run rate is €2 million a quarter, no change in that. And it leads us to year-to-date EBIT of 24%, €33.8 million. In Q3, we had a positive impact from the financial items, and that's coming from the earn-out liability decrease when it comes to Axivion acquisition, and then that was offset by the FX impact of the currencies, intercompany balances, specifically. Our year-to-date tax rate -- effective tax rate is roughly 21%, which is where it's supposed to be as well. And then the net profit for the period is €28.7 million, 20.4%. And the EPS for the quarter is €0.30 and year-to-date, it's €1.13 per share. On balance sheet side, the ending cash balance is €45 million. That's reflecting the operating cash flow of €33 million year-to-date. Our trade receivables are somewhat on high side. There are some little bit late payments from the Q2 deals. However, then because of the customers are such kind of established companies, we do not see any risk in that even though they were delaying the payments to Q4. Also, another factor that is increasing the receivables is the increase in deferred revenue, the renewals deals that will be recognized as revenue only in Q4. This year-to-date reduction of the €2.3 million in the contract assets, reflecting the -- like, pretty much no change in new deals taken with the extended payment terms. On the equity and liabilities side, I guess the -- worth mentioning there is the reduction of the interest-bearing liabilities by €18 million, out of which €16 million from the loan for Axivion. And then the other short-term liabilities are up by roughly €4 million since end of last year coming from the -- well, increase in deferred revenue and then offset by the Axivion earn-out liability reduction and some other minor fluctuation there. And now I will hand over back to Juha to go through the outlook and guidance for the year.
Juha Varelius: Thank you. Well, if I look for the rest of the year, I think the big scheme is not going to change so much. Our customers will be buying less consultancy and the runtime revenue will be growing, but the growth rate will be less than what we've been -- what we, in the earlier, anticipated. So we're going to be reporting the whole year run times as usual, and let's see where it settles down. Of course, the last year on the distribution licenses was a very good year. So the comparison number is high, but -- so it's going to be growing, but the growth rate is less than what we expected. If I look at our customers in general, well, cost consensus is everywhere in our customers. However, we do expect that our developer license sales will be continuing pretty much the same path that it has been. And I do expect that on developer license sales, we're going to be pretty much on budget than we've been anticipating. If I look the -- well, and the quality assurance business, they're going to be developing as they've been developing. So we don't see any big changes over there. And if I look next year, when we look towards next year, well, obviously, we do expect that the runtime revenue will pick up again and developer license sales will go pretty much the same path that it has been going, and we do expect that the Axivion will start picking up even faster like we saw in Squish that, first, the acceleration was a bit slow and then it started accelerating a bit -- a lot faster. Well, it's probably no surprise that if we look at our customer segments, the -- our automotive segment is somewhat slower. Our consumer electronics segment is somewhat slower. Our defense sector is doing very well, and our medical sector is doing well. So it's the consumer-facing industries where we see the -- where we see and we continue to see challenges. However, if we look at the economical situation, we do expect that the next year, things will start picking up and going towards better direction economically. And by that, I mean that European economy starts picking up and U.S. and APAC. So globally, there will be an acceleration on demand. If we look on the 1- or 3-year license shift, we don't see a big change over there. It's pretty much stable. So of course, people are looking carefully and thinking about cash flows and whatnot. If we look on renewals, the people tend to renew what they originally have. So that's not affecting our Q3 sales that there had been a big shift either way. We also see that people are renewing at the very similar rates they've been historic -- doing traditionally. So we don't see any changes from there. We do see that our -- all our products are very competitive. The feedback from our products are very positive. We see that the demand for our services is ever growing because there is more and more software coming into the market. There is more and more critical software that needs to be very well tested. So we see that, in overall, the demand and market keeps -- looks very good also for the future. So the guidance for '24, I think this interests everybody very much. So we had -- the previous guidance was 20% to 30%. We lowered that to 25%. So we don't see a path anymore that we would be able to hit that 30%. Then on 20%, if we look at how things are now developing, of course, we have on developer licenses, we have the long tail sort of the small deals. but they tend to go -- they are predictable in a way that the volume is so big. So the -- in bigger volume, we know roughly where they're going. And then we have these bigger deals. And if I looked at what do we need to do on a Q4 to be able to hit the -- our target, it's the -- we have more deals on the table than we need to close in order to be on our guidance. We have -- so we don't have to close all the bigger deals to be in our guidance. And on those bigger deals, we are at the end of October, means that they are also advanced stage that I'm pretty sure that they're all going to be closed. So the problem is not are they going to get closed or not, the risk is on timing, that are we going to close them all this year or are they going to go next year. So that's why we believe that we have a fair chance to be on our guidance. We have the bigger deals in place, and we have the enough pipeline to exceed the 20%. On profitability, we have our target on 25% to 35%. Well, you've seen that this business is very scalable and very profitable. So on the profitability, I'm not concerned at all. So the -- we're not going to be even close to 25%, I mean we're going to be way above it. So don't get me wrong, the other way around. So I think I covered pretty much the main points over here. So we are -- the business is pretty much going as planned. We are suffering on consultancy and distribution license, whereas they are growing less than we were anticipating. And our developer licenses, we haven't been able to sell more than we were planning, but on developer licenses, we're on plan. So that's why we are a bit behind what we were predicting that we would be at this time of the year. Yet saying that, we do see that because we -- the developer license sales is proceeding well, we do see that the -- we're not overly concerned on a longer-term perspective because we know that the run times will pick up eventually, and there will be a bigger pool for people developing things to hit the market. So in that sense, on longer term, we're still pretty comfortable that we will be continuing our growth going forward. With that, thank you. And now it's time for questions. And I'm sure Matti has mic already ready. So please.
Q - Matti Riikonen: It's Matti Riikonen, Carnegie. Maybe a couple of questions. First of all, could you be more specific when it comes to your revenue lines? You said that distribution license revenue was weak, but was the growth even negative? Was it flat? And how did you do with your renewal business in developer licenses? And how was the new sales? How did they contribute to the growth that you made in Q3?
Juha Varelius: Yes. So -- on the distribution licenses, sorry, if I didn't mention, it is growing. So I was referring to that it is growing definitely, but it's -- the growth rate is less than the -- we were expecting it to be. So it's -- and when we look on -- there is quite a bit of fluctuation on the quarterly basis, but that's very typical. If I look the -- if I make an educated estimate that where it's going to be this year, we're going to see growth, but it's going to be slow growth. So it's not flat, it's not declining, but it's on a slow growth path. The -- traditionally, our sales or how our sales goes, it's Axivion. It's actually all our developer license growth is such that when we do sell, always the first deal is a small deal. So if you compare even if it's a huge company, even a big, big company, the first developer license sales is always very small. It's like €100,000 or €50,000 or in that kind of a range. So when they start, it starts with the few licenses and then it starts expanding. So in that sense, the majority of our sales comes from existing customers. It comes from them expanding and it comes from their kind of cross-selling when they have new divisions taking or new projects taking Qt. So I've used this example that usually, if we get an automotive manufacturer, they start with one car model. And at the end of the day, after a few years, then it expands into the whole range of the car models. So in that sense, the new sales is always -- it's small compared to the selling to existing customers. And our renewals business, maybe Jouni can fill in if there are more details. But our renewals business, obviously, some time ago, we went into this subscription model, and we said that there is a -- there are two risks that -- well, when we were selling 3-year subscriptions that what if people don't renew at all. And then that if people -- if customers had bought a 3-year license, would they renew in 1-year license. And we haven't seen that risk. Our churn rate is very small. So basically -- and that's kind of sensible because most of the development projects our customers are building, they are many years long, and they need to maintain them many years. So our customer relationships are fairly long. They are multiple. They are not one year or three years. They are multiple years. So this is kind of adding up on that sense all the time. So the renewals business will grow. And the churn, of course, we do have some small number of start-ups and these type of businesses that they just go out of the business or they do only one thing, and that's it. But I mean, vast majority of our customers are companies that are building products and then they do a next series and next facelift and next new innovation and so on. So the use of Qt is continuous and expands to a certain level. So we see very little churn. And the feedback on the product is that there is -- people are happy with the product. So there is no -- we haven't seen -- it's wrong to say that I'm not worried about churn at all. Of course, it's something that we need to look and manage all the time. But from a business perspective, it's -- historically, it's always been very low.
Matti Riikonen: All right. Then could you also describe a bit what is the growth difference between the TQA software, which you have said that is growing nicely and the Qt ecosystem developer license growth, what's the kind of percentages that you see in growth in there? And do you still believe that this year, you would be making more than €30 million in net sales for the testing and quality assurance businesses as you indicated in the Q2 report?
Juha Varelius: Yes, we'll make over €30 million, yes. I'll buy the rest myself. No, just kidding. We'll make over €30 million. Yes, yes, yes. It's the -- percentage-wise, I think -- yes, I don't have the percentage-wise. Of course, it would be also a bit different because Qt developer community, it's an open source community, right? There is a big community using the open source version, and then we do sell Qt commercial licenses, and it's a relatively big business. There is a 1.5 million or maybe more users as of today, I don't have the current number, whereas the QA business is proprietary business. So it's not an open source. But if I look at the growth rate -- and then it's kind of €30 million compared to Qt business. So it is -- percentages look better. But the -- I once said that the -- if we buy -- if we do an acquisition, I would not like to do an acquisition that would dilute our EBIT margin or our growth rate in general and Qt has -- QA business has well met those demands. So -- but yet, when Qt was €30 million, it was very early stages. If I look now QA, it's going to be definitely over €30 million this year. Am I confident that we're going to be able to build the QA business into €100 million business, and it's not going to take that many years? I'm still -- yes, I don't see any reason why would that not happen because the QA business, we can sell QA -- first of all, we can sell it to Qt commercial users. They can use our testing tools to test what they've been building. We can sell QA to our Qt ecosystem. So the open source users, they may do something that the open source license is enough, but yet still they need to test it. And then our tools can be used on other languages as well as Java and Windows. So the potential market for our QA business is bigger than the Qt ecosystem and community. So therefore, the addressable market is big. If I look at the QA business, when we started with Qt, there were quite many small competitors. So the market was fragmented where we were operating. If I look at the back-then competitors, they are still about the same size, and we've become big in this domain where we are on embedded C++ domain, we're big, right? And if I look at the QA business, it's very fragmented. There are a lot of different solution providers. So can we replicate on QA what we did on Qt? I think so, yes. And so therefore, I see it's promising. And Squish, Coco has clearly went already over the path that it's -- the growth is accelerating. There are more and more deals. Axivion is still on its early phases. And the -- and by this, I mean that if I look, for example, the number of salespeople we have, how many of our salespeople have actually done Squish deals. It's a large number. If I look at the -- how many people are doing Axivion deals and other deals in Qt, that number is much smaller. So it's still on the expansion phase. But the -- no doubt -- and of course, it's not going to be linear. It's going to go like this, but the €100 million is very well doable on QA business.
Matti Riikonen: All right. Then finally, a question to Jouni. You cut the earn-out liability related to Axivion. And I was just wondering what caused that? I mean, when you talk about the quality assurance business, it seems to be doing well. But then the kind of liability reduction doesn't really coincide with that.
Jouni Lintunen: Sure. I mean we disclosed when we acquired Axivion that there's like max €12 million earnout with the purchase. And as you have said, it's kind of taken a bit longer to accelerate to the path that we kind of -- in best case view, kind of planned. So I mean, obviously, from our point of view, as a buyer, you want to buy something with kind of aggressive kind of a scale on earnout. So that's just kind of reflecting that if we had accrued it at 100%, so now we are taking it down somewhat.
Juha Varelius: So in the deal-making, the earn-out was very aggressive. And yet we don't meet that aggressive earn-out level. I don't want to comment on behalf of the sellers, but yet still, I'm okay. I'm happy.
Jaakko Tyrvainen: Jaakko Tyrvainen from SEB. Going back to distribution licenses, how much of the softness you currently see owes to the customers' own inventory cycle, meaning inventory cycle of their licenses that they hold in their inventory? And how much of the softness owes to just underlying lower end product sales?
Juha Varelius: Well, that's a good question. We do sell the distribution licenses in two ways that some of our customers report later that how were they selling on volume and some buy beforehand. And once they've used them, then they buy more. So the -- how much there is the inventory softness, then we have -- nowadays, we do -- one of our strategy has been that we are very horizontal product. So we have, you could say, hundreds of customers paying us distribution licenses as of today. So it's -- I don't have an answer to your question. But on the other hand, if I look at our customer base and I -- just from a public news that I can see that profit warnings and I can -- layoffs and them giving a -- missing their own guidance. So that's kind of where it's at. And in general, it's affecting the consumer-facing products mainly for us. So like I said, on defense, no problems on medical, no problems. But on consumer-facing products like automotive and such, we see a slowness. So that's the best answer I can give you now. So where I think that this is going to change again is that there's been this uncertainty on economy and whatnot. And of course, people can postpone their replacement of goods and whatnot, but you can't do that forever. So we expect next year that the runtime revenue growth rate will increase again.
Jaakko Tyrvainen: Okay. Then on the splits within the distribution license revenue side, is the automotive sector the largest segment within distribution licenses?
Juha Varelius: Well, we've said that our automotive is somewhere between 15%, 20% as of the total company. And I think that gives you kind of an idea where it's at. So it's a meaningful segment, but it's only one segment. And so the -- it's -- so medical, for example, is, I think -- well, they kind of change places, but it's about the same size, yes. They change places often and defense is picking up. So for us, it's been a -- well, for many reasons, it's been a very good strategy to be a horizontal product. But as of today, I'm very happy that we are not automotive-only company.
Jaakko Tyrvainen: Okay. Then on the growth and the split between the existing customers and new clients. If you look at the first 9-month growth of 16%, could you elaborate a bit more how much of that is coming from the existing customers and how much is totally new customers? You said, it starts with small, but a bit more...
Juha Varelius: Well, if you look on revenue -- so if I look on the -- on developer licenses, if I look that how we've been acquiring new customers, it's the same rate that it was last year and whatnot. So our new customer acquisition hasn't slowed down yet. Of course, always you want that there would be a bit more and it would accelerate a bit more if I look Qt now. And of course, if I look on QA, the -- well, it's kind of get blended. Is it a new customer if we do sell QA to existing Qt customer, right? But -- so if I look QA business as a stand-alone, of course, they are getting new customers in that business when they are selling to existing Qt customers. But -- so if we look the volume-wise, we don't see any change in acquiring new customers. So we don't see market slowing in that sense. Of course, we would always hope to be able to attract even more. So we haven't been accelerating acquiring new customers much than we've been doing in the previous years, but it's not been slowing down either. If we look on the cross-sell on our existing customers that how much can we expand in our existing customers, all those ratios are -- on Qt, they're pretty steady. So we don't see any slowdown over there. The only consistent kind of behavior, if I looked at how companies are looking, they are looking more carefully that how many licenses we really need, how many -- do we take 1-year or 3-year license and this kind of discussion. But at the end of the day, our customers are in a business of selling products, right? So it doesn't matter if you're selling cars or vacuum cleaners or microwave ovens. If you want to be in the business next year, you need to bring something new to the market. That's -- if you stop developing -- so our customers kind of don't have a choice in that sense that they could be able to stop the development work. The other thing is that if you're doing the development work internally, there is no way you're going to outsource it somehow. You already have your engineers. It's some cost there. They need to build new product. So that business is growing pretty steadily. We are getting new customers and the same rate we've been getting. So in that sense, I don't see any softness in the market. And if I look at the -- going forward that how -- what we see is that more and more industries are coming into this, right? So the more and more use cases are coming into this and more and more devices are having user interfaces. So there is this kind of market evolution, it keeps on going.
Jaakko Tyrvainen: Good. Then looking at your guidance and your performance three years ago in Q4, I believe that you must have quite a chunk incoming 3-year license renewals. Is there a risk that those licenses will be renewed as 1-year licenses? Or are you seeing a risk of higher churn with those clients?
Juha Varelius: No, I don't think so either because now we have -- if you would have asked me a year ago, I would have been -- maybe that -- I don't know, let's see. But the -- everything we've seen is that the -- first of all, the people that have been developing something for, well, three years, they will definitely continue. And we also see that the people tend to renew what they have previously already ordered. And I don't see -- the only reason for us to have churn all of a sudden would be that there would be something broken in the product so that our customers would not be able to continue. But if our customers have starting develop something, they've trained their developers to use Qt and everything is working smoothly. Don't forget that on many, many studies we have, using Qt actually improves your efficiency like 30%. So we really bring value to the customers, right? So there is -- that's the fundamental reason to use Qt that the efficiency gains are -- they're big. So if there are such performance efficiencies, the product is working well and they have products and they know that they will continually need to be developing those products, so there is really no reason to have churn. And so -- and that's been -- since from the beginning, that's been the case. So the cornerstone actually is that the product is very good, and it's delivering what's promising.
Jaakko Tyrvainen: Good. Then final one for me. Could you elaborate a bit more on the challenges you mentioned in American business? What does that mean? Does it relate to your own organization or customers or a bit more color on that one?
Juha Varelius: Well, I think if you look strategically, if you look on a bigger picture, we are in a market where there is a growing need for software to be in the products. There is a growing need to have graphical user interfaces. There is a growing need for testing and our products. So we are strategically in a position where the -- our customers do realize that they do have a problem and we have a solution for them, what they're trying to get done. And we do have a -- so we don't have to be telling our customers that you have a problem and so on. They do know that. And it's a growing market. So strategically, we are in a very good product fit in a growing market. So if you think that is that a good place to be, yes, that's a good place to be. So I'm going to be next week in Boston, and I'm going to be meeting a lot of people over there. And basically, we need more execution and a bit more speed. That's basically it. And I don't -- we don't need to change the product. We don't need to change the pricing. There are no -- just fundamental things. I mean we're just going to go the last mile a bit harder. And it's a big market and it's election next week. So let's see.
Waltteri Rossi: Waltteri Rossi from Danske Bank. A few questions left from me. Maybe I'll continue on the U.S. U.S. weakness, is there anything else than the distribution licenses and consulting being weak? For example, have you lost any customers there?
Juha Varelius: No, we haven't lost any customers in there. It's the -- in -- we usually -- no. Yes, we usually don't -- I can't even recall when we've lost a big customer in that sense. They've been more or less growing and they're very happy with us.
Waltteri Rossi: All right. Then you also mentioned the U.S. elections. Do you see that there could be any potential impacts on Qt, for example, if Trump wins and the import duties on China products, for example, are raised?
Juha Varelius: Ah, that's a very good question. We do have -- I think in our text, we do have that there is a -- it was so nicely said that I can't even -- geopolitical risks, yes. So that's Ukraine and that's China. And I mean, as a matter of fact, I don't think that it really matters that much which one of the presidents will be elected. I think that the U.S. view towards China is going to get tighter either way. That's my view. And I think that the kind of sanctions and this kind of economical competition will get tougher between those two countries step by step. That's our view. And our strategy has been all along that we do business in China. We're very happy with the business, and it's actually going very well. But we've always maintained the investment level, and we've maintained everything in a manner that if really the worst happens and we need to walk away like we did in Russia, well, you're going to see a dent, but that's -- our growth will slow down temporarily, but that's it. And that's how we manage that risk. But we kind of foresee that it's going to get tougher evidently no matter who gets elected. On Ukraine, well, inflation is over there, of course, the risk that if it escalates and the oil price goes up and then inflation goes up and interest rate goes up and then we're again talking about the distribution licenses, right? Well, it doesn't seem that it's going to happen now, but of course, there is this escalation risk. In U.S., I think that the -- there's been some uncertainty. Businesses over there are looking around and whatnot, but I wouldn't say that this election affects us. I'm merely saying that the -- I think that we have room of improvement over there to execute a bit better. And like I said, I'm not -- don't make too big conclusions out of it because we do have this that on some quarters, U.S. is higher and Europe is lower and whatnot. So they do change places. But definitely, yes, that's the case. And of course, when customers are using less consulting, they are more concerned about money spending and that we see more in the U.S. But we haven't seen, for example, shift from 3-year to 1-year licenses or any of that, but we've seen more -- so U.S. companies has been more cost conscious, I would say, mainly.
Waltteri Rossi: Okay. Still in the case -- in case U.S.-China relations kind of get tighter and, let's say, the import duties are raised, would it show in your developer license sales or distribution license sales?
Juha Varelius: Distribution license sales, because many of our customers are selling large quantities in China.
Waltteri Rossi: Yes. And the volumes would come down.
Juha Varelius: Well, those would come down. And then we do have Chinese customers as well that are selling cars. And so that would be the -- I mean, that would be the effect.
Waltteri Rossi: Yes, that would be the first effect, right?
Juha Varelius: That would be the first effect. And then the second effect would be that the -- eventually, we would not be able to sell licenses in China. I think that's the worst-case scenario. And I think like a year ago, I said that the [indiscernible] is going to hit the fan. The question is the timing. I still think the same.
Waltteri Rossi: All right. Still, then on the license maturity issue or maybe it's not an issue, but this year, you're going to have a large chunk of 3-year licenses at renewal. So ballpark, what percentage of that chunk is going to be renewed in Q4?
Juha Varelius: I'm sure we haven't given that information out, and I'm sure I don't know about it. So...
Jouni Lintunen: And I won't give it.
Juha Varelius: Yes. So sorry.
Waltteri Rossi: All right. Fair enough. Last one. If you say that the 3-year licenses are being renewed as is and as you expect, what impact will that have for the next year? Because next year, you're not going to have as many 3-year licenses at renewal. So that would kind of have a negative impact for the next year.
Juha Varelius: Yes. Okay. Yes. But of course, that's kind of -- we've been selling -- well, Jouni can open it up. But of course, we've been selling licenses all along. So it's not like clear cut as that.
Jouni Lintunen: Yes. I mean if you think about the subscription licenses kind of as a project, so it started back in 2020 with very limited number of 3-year licenses subscribed. '21 was a good one and so was '22, and then there was tail in '23. So there's not going to be that kind of a negative impact for next years coming because of this. And then we also, at the same time, have more shorter-term licenses circulating at the bottom.
Waltteri Rossi: But the share of 3-year licenses has come down year after year, right? So there has to be some impact.
Jouni Lintunen: For most parts because of the fact that new customers more often take 1-year licenses, that will start circulating on that cadence. But what comes to the existing long-term customers, there has not been that kind of a shift.
Juha Varelius: So we kind of see that when the war started, for example, people got worried. We saw a spike on 1-year licenses and then kind of it went away and then it goes into the old shift. So whenever something happens, people take more 1-year licenses and then they go back into the original shift. So that's basically it.
Waltteri Rossi: All right. Thanks for the answers.
Antti Luiro: It's Antti Luiro from Inderes. Could you give a small update on how the sales of quality assurance products beyond your home turf and embedded systems is going?
Juha Varelius: So you mean the outside of Qt ecosystem?
Antti Luiro: Yes.
Juha Varelius: Well, early phases, but the -- I've set a target that the 30% of the revenue needs to come out of there on a longer term, and I think we are on a good path to hit that number.
Antti Luiro: And specifically on the QA product competitiveness in that segment, obviously, in Qt ecosystem, there's more arguments for it, but are they just good products individually?
Juha Varelius: Yes. Well, so QA product is -- well, when we -- so when we did the acquisition, we set a target -- strategic targets for ourselves. One was that we want to see QA to be sold at least 30% out of Qt ecosystem. And that was to help us in a way that we will create that business, because for us, obviously, for our sales staff and whatnot, it's a lot easier to sell to existing Qt customers and Qt accounts than going outside of the Qt ecosystem. Same thing for marketing and so on and so forth. Same thing when we said early on when we acquired Qt, I said that the consultancy business can never be more than 20% because I wanted to make sure that this stays as a product business because, for us, it would have been easier to sell the consultancy. We actually have one competitor. I'm not going to mention it, but they are more on a consultancy business now than selling a product. And obviously, it's a totally different path. So that was the reasoning that we wanted to create the going outside of the Qt ecosystem and the 30%. We are on path to do that. And of course, it's a lot harder for us. Can we sell Qt to those customers? Too early to say. Of course, there is some, but that -- would that be mainstream? That's too early to say. But of course, we do cross-sell all the time, but how well it's going to be working remains to be seen. I mean, at the end of the day, they are using some other development tools, so why would they change? So it's a hard sell.
Antti Luiro: Yes, makes sense. And a quick one. Have you considered hosting a Capital Markets Day to explain the multiproduct strategy a bit more? Has it been in your discussions?
Juha Varelius: No, it hasn't. Do you think there would be such demand?
Antti Luiro: Yes.
Juha Varelius: Okay. Apart from yourself. We can have one-on-one if there is more. I mean I'm always very happy to talk about Qt and the company and its products. So no reason why not, I mean, after year-end. I'm kind of busy now, the rest of the year.
Antti Luiro: Sounds good. I’ll give over to Felix. Thanks.
Felix Henriksson: Thanks. Felix Henriksson from Nordea. Three questions left from my side. Regarding distribution licenses, you did say that you expect to see a pickup in growth in 2025. Is that just based on the overall economy picking up? Or do you actually have concrete visibility into your customers' upcoming product launches?
Juha Varelius: Yes, both.
Felix Henriksson: Both?
Juha Varelius: Yes. I mean, of course, if the economy doesn't pick up and things get even worse, well, then forget it, of course. I mean, if things really get bad, that's where we see it first. But the -- both, yes. So of course, we talk with our customers. We -- now is the time of the year to talk about budgets and price increases and whatnot, so -- and what is their outlook. And every time we see customers, we ask what is your outlook and what's your expectation for next year. So it's not written in stars that we're going to order this much, but I mean, the feedback is positive.
Felix Henriksson: That's good to hear. And to Jouni, regarding the receivables going up, you did mention that some customers are postponing payments to Q4. Is that due to them struggling financially? Or is it because of you giving looser payment terms?
Jouni Lintunen: Well, for most parts, I think it's pretty kind of standard work by many big corporations. I mean, they hold payments for the next period. Unfortunately, that's the case. And I mean, that's the major thing on that one.
Felix Henriksson: Okay. So no real trauma there and one shouldn't be worried about receivables collection.
Jouni Lintunen: No, no, no change in that regard. Our bad debt accrual has not changed anyway.
Juha Varelius: So our customers are -- they're -- again, majority are big brand names. And all those big companies, towards the end of the quarter, they stop paying their invoices and then they start after the quarter. I don't know why that happens.
Felix Henriksson: Okay. Fair enough. Then finally, you did mention, Juha, that you shouldn't be anywhere near the lower bound of your EBITA margin guidance range for 2024. So why not raise the lower bound or narrow down the margin guidance range...
Juha Varelius: Yes, that's a good question. The -- of course, as you know, the -- our EBIT goes pretty much hand in hand with the revenue, right? So the -- and that's why there is this big guidance. But the -- if I look now at the -- how things look and if I look at the -- would I be worried about that we're going to be under 25%? I'm not at all.
Felix Henriksson: Right. So it's sales volume-related. So no sequential change in recruitments, for example, that we should be expecting?
Juha Varelius: No, no, no or no big -- any cost allocations to that matter either, yes. No bad debts or accruals of any kind or -- so no surprises on that profitability line. yes. But it goes very much hand in hand with the sales. And I must add that, of course, we are very far from where we would like to be and the expectations are high, but yet still, I mean, not entirely bad numbers in this kind of economical situation that we can make such a strong profit and still make a pretty good growth, of course, far from what we were expecting and what -- where we want to be, and we're certain we can fix that in Q4. Any more questions from here?
Matti Riikonen: Matti Riikonen, Carnegie. A couple of small questions. You have earlier talked about price hikes for 2025 in 4%, 5% neighborhood. How are your talks with customers proceeding with that? Do you think that it's possible to hike prices?
Juha Varelius: Yes.
Matti Riikonen: No objections so far from the customers?
Juha Varelius: Well, of course. But if you look overall that how prices are going up, I mean, everybody are increasing their prices, so if we would be the only player in town, but salaries are going up and everybody is raising their prices. So our operation is getting more costly. Everybody -- we are in a situation where everyone is raising their prices. So in that sense, it's easier discussion rather than being the only one. So of course, there is always a discussion. I mean, our negotiations, specifically bigger deals, they are very tough. I mean, big companies, professional buyers on the other side of the table. So yes, our expectation is to increase prices, and I think that their profit card says that they need to lower prices. So -- but I mean, in general, yes, it's generally understood why prices are going up.
Matti Riikonen: And secondly, if I try to capture together your promises today, you're basically saying that the developer license business of yours is continuing as you expected it to be and testing and quality assurance business inside that bucket is also -- it continues to outgrow...
Juha Varelius: I promised over €30 million, right?
Matti Riikonen: Yes. And then there's low consulting sales, but of course, the base number is quite small. And the only deviation that seems to be at hand is the distribution license revenue which is related to the economy?
Juha Varelius: Yes.
Matti Riikonen: And you basically see that next year, that distribution license business should be recovering again based on your talks with customers and the idea that the economy would be picking up. Is that the right kind of conclusion?
Juha Varelius: Very good conclusion.
Matti Riikonen: Thank you.
Juha Varelius: And for Q4, we have the long tail over there. We have enough pipeline to make the Q4 numbers as we expect. We always do have bigger deals on the table. They are there. We don't need to close them all to be able -- in our target level. So the risk on those bigger deals apart from your conclusion was very good and correct. The bigger deals, the risk is the timing. The deals we are looking to close on Q4, I don't expect to lose any one of them. But the timing, of course, that do they come 2nd of January or in December. And we're going to have a very, very busy December because large part of our sales is on Q4 and probably half of that sales comes in December and half of December sales comes in the two last weeks. So that's how our business goes.
Juha Varelius: Thank you very much. I think we are a bit over time. Thank you very much for your very good questions. And thank you for participating and listening us today. Like I said, we had a very -- we had a weak Q3, mainly due to distribution and consultancy. We hope to -- we see improvement, and we lowered our guidance from 20% to 30% revenue growth to 20% to 25% growth. And now back to work and making the Q4 numbers. Thank you very much.